Operator: Hello, ladies and gentlemen, thank you for standing by for Viomi Technology Co Limited Earnings Conference Call for the First-Half 2024. At this time, all participants are in listen-only mode. Today's conference call is being recorded. I’d now like to turn the call over to your host, Ms. Claire Ji, the IR Director of the company. Please go ahead, Claire.
Claire Ji: Hello everyone, and welcome to Viomi Technology Co Limited earnings conference call for the first-half of 2024. As a reminder, this conference is being recorded. The company's financial and operating results were issued in a press release earlier today and are posted online. You can download the earnings press release and sign up for the company's e-mail distribution list by visiting the IR section of the company's website at ir.viomi.com. Participating in today's call are Mr. Xiaoping Chen, the Founder, Chairman of the Board of Directors and the Chief Executive Officer; and Mr. [Indiscernible], the Head of our Capital and Strategy Department. The company's management will begin with prepared remarks and the call will conclude with the Q&A session. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's annual results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's annual report on Form 20-F and other filings filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required by law. Please also note that Viomi's earnings press release and this conference call includes discussions of unaudited GAAP financial information, as well as unaudited non-GAAP financial measures. In addition, Viomi's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our Founder and CEO, Mr. Xiaoping Chen. Mr. Chen will deliver his remarks in Chinese, followed immediately by English translation. Mr. Chen, please go ahead.
Xiaoping Chen: [Foreign Language] [Interpreted] Thank you, Mr. Chen. I will quickly translate our Founder's remarks before discussing our financial performance for the first-half of 2024. Hello, everyone. Thank you for joining us today on our earnings conference call for the first-half of 2024. In the first-half of 2024, we implemented our focused strategy, prioritizing high quality development, consistently enhancing our operating performance and return to a net profit position, specifically by concentrating on our advantageous categories. Our core home water solution products revenue grew by near 13% year-over-year, while we further optimize our product structure. As a result, our overall gross margin continued to improve to 24.8% for the first-half of 2024 from 22% for the prior year period. Rigorous cost control measures lead to a year-over-year decline in operating expenses by 19.2%, contributing to a turnaround in net profit with a net income of RMB5.6 million and a non-GAAP net income of RMB16.1 million. Additionally, we maintained a strong cash position with free cash assets totaling RMB914.3 million. On July 19, 2024, we announced a major business reorganization, which is expected to be completed as planned by the end of August. This reorganization demonstrates our commitment to implementing our focused strategy and safely improving our operating results by divesting certain underperforming IoT related businesses. Viomi will now primarily focus on leveraging its core strength in the water purification sector to elevate our overall operational trajectory. According to our preliminary estimates, the revenues of the continuous business were more than RMB800 million with an estimated income from operations more than RMB70 million in the first-half of 2024. In the short-term, this strategic reorganization may lead to a slight reduction in our business scale, but it will further enhance company's profitability, driving healthy and sustainable long-term growth. Following the major business reorganization, Viomi will embrace a new mission, AI for better water. We are dedicated to utilizing AI technologies to provide better drinking water solutions for household worldwide. Leveraging our extensive expertise in AI technology application, intelligent hardware, and software development, Viomi has strived to redefine home water solutions and developed a unique equipment plus consumable business model. We use AI technology to holistically enhance the user's experience, providing remote real-time monitoring of water quality and usage, as well as timely filter replacement reminders, one-click reordering, and the DIY replacement options leading to a higher filter replacement. Our intelligent waterway self-cleaning technology significantly extends filter life span and reduces the cost of water purification, making smart water purifiers a reliable, hassle-free, and affordable essential for a healthy lifestyle. As of the end of the first-half of 2024, Viomi AI home water solutions were used by nearly 5.9 million household users. In terms of the production innovation of the industry-leading technology, Viomi has consistently driven technological breakthroughs over the past decade. We developed tankless large-flux water purifier that provides fresh drinking water 24/7. By upgrading the water flux up to 2,000 gallons. We expanded water purifier usage scenarios from drinking to cooking, washing vegetables and more. In addition, we implemented ERO technology to offer sustainable water quality ranging from pure water to natural mineral water, setting new trends in healthy living. At the Viomi Spring Water Purifier New Product Launch event in March 2024, we unveiled the Viomi Kunlun Mineral AI Water Purifier. Its innovative mineralizing filter technology enables the sustained release of beneficial minerals, making the composition of these minerals in the water almost identical to that of natural mineral water, allowing our users to enjoy fresh mineral water at home. Viomi offers a wide range of products covering various home scenarios. From single-function filtration to integrated functions featuring instant heating, cooling, and icemaking capacities. Spanning kitchen, living room and whole-house applications, our products comprehensively address the increasing global demand for cleaner, fresher, and healthier drinking water. In terms of product manufacturing and technology development, Viomi operates a world-leading Water Purifier Gigafactory, boasting an annual production capacity of 5 million water purifiers and 30 million filters. Its highly integrated industrial chain layout, highly automated production lines, high standard cleaning production workshops, and a fully traceable quality control system facilitate continuous breakthroughs in water purification, achieving optimal scale efficiency and meeting diverse global market demands. We have established one of the industry's most comprehensive R&D systems, mastering advanced filtration technology and the materials manufacturing process. As a result, we have amassed over 1,600 water purification patents and attract numerous global talents in management, marketing, product development and quality control. Through continuous product adjustments and effective implementation of our focus strategies, we have each achieved significant success in sales, while steadily enhancing our benchmark. By strategically aligning our sales channels with differentiated products, we have successfully expanded our market share and further promoted our mineral water purifiers. In July, the Viomi AI water purifier ranked third in the water purifier sector, where our new spring product series claimed the top position in the [Indiscernible] water purifier category on China's leading new media platform. Additionally, Viomi ranked 439th place in 2024 China's top 500 brand list, released by the World Brand Lab, with a brand value of RMB13.336 billion. Following our major business reorganization, Global Water will become the company's vision as a specialized professional water purification technology company, we aim to deliver fresh and healthy water worldwide. And we will deepen our focus on providing high quality products and solutions to enhance our user satisfaction. First, we will strengthen our collaboration with strategic partners to fully leverage our water purifier gigafactory’s competitive advantages. Second, we will increase our water purification products, domestic marketing penetration, continuing to lead the healthy mineral water trend and promoting a successful household users. Third, we will actively expand in key overseas markets to promote Viomi’s global strategy, and our families abroad to enjoy fresh and healthy water through our products. In the meantime, we will maintain a sufficient capital reserve and ensure stable business growth, providing long-term returns for our users and shareholders. Thank you. That concludes our Founder’s remarks. I will now turn the call over to our Head of Capital Strategy Department, Mr. [Indiscernible], to discuss our financial performance. Thank you.
Unidentified Company Representative: Thank you, Mr. Chen and Claire. Thank you to everyone for joining us today. I will go over our unaudited financial results for the first-half of 2024. Net revenues were RMB1,040.2 million, compared to RMB1,304.4 million for the same period of 2023. This decrease was mainly due to a strategic shift in focus toward home water solutions, resulting in decrease in revenues from the IoT @ Home portfolio, as well as small appliances design orders. Revenues from the IoT @ Home portfolio decreased by 30.3% to RMB482 million from RMB691.7 million for the same period of 2023. This decrease was primarily due to the company's strategic decision to phase out underperforming SKUs in smart refrigerators and air conditioners, aiming for more sustainable and healthy growth. Revenues from home water solutions increased by 12.9% to RMB323.5 million from RMB286.6 million for the same period of 2023. The increase was primarily driven by our intensified focus on water purification products. Revenues from consumables remain stable as RMB135.8 million from RMB135.9 million for the same period of 2023. Revenues from small appliances and others decreased by 48% to RMB98.9 million from RMB190.2 million for the same period of 2023, primarily due to the company's ongoing effort to streamline SKUs within these categories. Gross profit was RMB258.1 million, compared to RMB286.8 million for the same period of 2023. Gross margin was 24.8%, compared to 22% for the same period of 2023. The increase was primarily driven by the company's effort on expanding revenue contribution of higher gross margin core product categories. Total operating expenses decreased by 19.2% to RMB292.3 million from RMB361.8 million for the same period of 2023. The adjusted operating expenses excluding share-based compensation were RMB281.8 million, representing a year-over-year decrease of 21.8%. The decrease was driven by the company's strategic evaluation of resource efficiency and a focus on more advantages areas to achieve the best operating result. In greater detail, R&D expenses slightly decreased by 1.2% to RMB109.2 million from RMB109.5 million for the same period of 2023. Mainly due to a decrease in stock cost, partially offset by higher share-based compensation expenses, resulting from extension of share incentive plans expiration term to 20-years. Selling and marketing expenses decreased by 33.1% to RMB142.9 million from RMB213.5 million for the same period of 2023, mainly due to a decrease in logistic expenses, online platform service fees, and advertising and marketing fees. As a result of the company's rigorous cost control measures, optimization of sales channels, and the refinement of the product mix. G&A expenses increased by 6.2% to RMB41.2 million, compared to RMB38.8 million for the same period of 2023, primarily due to an increase in professional fees, depreciation and administrative expenses related to operation of the technology part, partially offset by a decrease in the estimated allowance for accounts and the notes receivables. Net income attributable to ordinary shareholders of the company was RMB6 million and the non-GAAP net income attributable to ordinary shareholders of the company was RMB16.5 million. We achieved this good results as we strategically shift efforts toward home water solution products and implementing strict cost control measures. Additionally, our balance sheet remains healthy. As of June 30, 2024, the company had a cash and cash equivalent of RMB701.6 million, restricted cash of RMB206.9 million, short-term deposit of RMB142.6 million, and a short-term investment of RMB60.1 million. Now let's turn to our outlook. For the full-year of 2024 with current experts. Revenues of the continuous business to be between RMB1.7 billion and RMB1.9 billion. Incomes from operations of the continuing business to be between RMB110 million and RMB130 million. The above outlook is based on our current market conditions and reflects the company's current and preliminary estimate of the market and operating conditions and customer demand, all of which are subject to change. Thank you.
Claire Ji: Okay, this concludes our prepared remarks. We will now open the call for Q&A. Mr. Chen, our Founder, And Mr. [Indiscernible] will join the session and answer questions. Operator, please go ahead.
Operator: We will now begin the question-and-answer session. [Operator Instructions] [Operator Instructions] Our first question comes from Jingsheng Liu. Please go ahead.
Liu Jingsheng: Hi. Hello, thanks for the management. I'm Liu Jingsheng from CICC, and I have three questions about the results, and I'll ask them one by one. Okay, so the first one is, for the Home Water Solutions business, can you introduce what is the result of both the volume and the ASP? And how do the Xiaomi brand and Viomi’s brand products perform professionally? Thank you. That's my first question.
Xiaoping Chen: Okay. Thank you. Let me just get to your question. As for the Home Water Solution business, we had 13% increase in revenue for the first-half of 2024, compared to the same period of last year. And due to further focus on Home Water Solution business, as well as deepening our strategic cooperation with Xiaomi on this category. Through continuous product adjustment and the effective implementation of a focused strategy, we have achieved significant success in sales-wise steadily enhancing our brand strength. But strategically, allowing our sales channel with efficient products, we have successfully expanded our market share and further promoted our mineral water purifiers. In July, the Viomi AI water purifier ranked third in the water purifier sector, while our new Spring Product series claimed the top position in the unsinked water purifier category on China's leading new media platforms. Additionally, we are ranked 439th in the 2024 China's top 500 brands listed released by the World Brand Lab with a brand value of RMB15 billion. We will maintain close cooperation with our strategic partners, while expanding differentiated channels and the products to jointly increase the penetration rate of the water purifier market and make AI water purifier as essential for the better life. Thank you. Please go on.
Liu Jingsheng: Okay, thank you. And my second question is, what is your purpose of divesting IoT business? And what are the remaining categories now? And can you explain why do you choose these categories to remain? And can you also introduce some financial results of the remaining categories? Thank you.
Xiaoping Chen: It's a very good question. The business we're divesting are certain underperforming IoT business, so that we can quickly restore our operations and get the company back to a benign status. And certain IoT business has showed a trend of construction in scale during the past few years, which to a certain extent has dragged down our overall operating efficiency. Therefore, we have started to streamline and focus on more productivity in 2023 and invested our resources in more advantageous product categories. As we mentioned in the beginning at the PR for the first-half of 2024, based on our preliminary estimate, the estimate of revenue of continuing business was no less than RMB500 million. With the estimated income from operation, more than RMB50 million for the first-half of 2024. Also, we estimate the top line of the continuing business, we are rich between RMB1.7 billion to RMB1.9 billion for the full-year of 2024, with the income from the operation between RMB110 million to RMB130 million. Next, we plan to sort out the overall revenue structure with the new Home Water Solution business, consumables, and other appliances and services. Although it's not finalized yet, the new Home Water Solution business will include unsinked water purifiers pipeline water dispensers free installation products like top water dispenser, smart kettles, as well as centralized water purification and the softening systems. And water heaters covering homes and areas including kitchen, living room, bathroom, and a whole house of water systems. Thank you. Please go on.
Liu Jingsheng: Okay, thank you. And my last question is what does the management expect to see improved after these divestments? And what will be the focusing forms in the future? Thank you, that's my last question.
Xiaoping Chen: Okay, the business we diversed are certain under-performing IoT business. All fundamental has turned around. Earnings will improve significantly and get the company back to deny [Indiscernible]. As we mentioned in the -- before, based on our preliminary estimate, the estimate -- the revenue of the continuing business were more than RMB800 million. With the estimated income from operation more than RMB50 million for the first-half of 2024. The full-year guidance of the continuing business is between RMB1.7 billion to RMB1.9 billion in top line and RMB110 million to RMB130 million of the income from operations. As we can see, diversity income of our business will strengthen our overall scale in short-term, but we'll produce significant improvement on the operation result [Indiscernible]. Through this reorganization, we can concentrate our resources to focus fully on the company's most powerful water purification field and further improve the brand influence of Xiaomi AI water in the following three aspects. First, we will strengthen our collaboration with strategic partners to fully leverage our Water Purifier Gigafactory’s competitive advantage. Second, we will increase our water purification products, domestic market penetration, continuing to lead healthy mineral water drink and promoting access for household users. Third, we will actively expand in key overseas markets such as the North America and Southeast Asia markets to promote the Viomi’s global strategy. Enable families abroad to enjoy fresh and healthy water through our products. Thank you.
Operator: Okay, the next question comes from Hunter Diamond with Diamond Equity Research. Please go ahead.
Hunter Diamond: Hi. Congratulations on the results. Some of my questions were already answered, but a few more. My first question was, what are the expected impacts of the extended filter lifespan technology on customer retention and recurring revenue, considering the reduced need for frequent filter replacements?
Xiaoping Chen: Well, through the application of AI technology, we hope to enhance the customer experience. Excuse me, can you hear me?
Hunter Diamond: Yes.
Xiaoping Chen: Okay, continue. The increased acceptance of water purifiers and reduce the cost of water purification. The increasing in-store base will bring in recurring revenue from consumables. According to our observation, the market size and penetration rate of China's household water purifier market maintained a low level for a long time. Lots of customers switch to other ways to get purified water and do not change the filter mainly, because of the frequently change in filters, causing a lot of problems and extra cost. This is due to low degree of product intelligence, so that customers cannot have a clear expectation of the lifespan of the filters and cannot replace the filters by themselves. We can change it. Let's just take 1,200 gallon Quanxian AI water purifier, for example. It's one of our best selling products. It comes from two filters. One is a composite filter with two-year lifespan. Selling price is around RMB300 and the other is an RO filter with average lifespan of five to six years. Selling price is around RMB900. For a family with daily usage of water of 10 liters of water, assuming they are using the water purifier for eight years, the annual cost for the filters is less than RMB230. This is very attractive and has obviously an advantage comparing to bottled water. You can do one click to make the water through the APP change the filter by DIY with three seconds. It's pretty simple and easy. We believe it will bring more and more people to purchase and continue to use water purifiers, increasing the installation rate and guaranteeing an acceptable customer consumption. In short, at Viomi, we animate AI for better water using AI technology to make better water and durable, reliable products promoting the customer's increased and healthy awareness and allow more customers to use AI purifiers to improve the quality of the living. Further, improve the penetration rate of the household market. In the meanwhile, bring high quality and sustainable scale growth of the company. Thank you. Please go on.
Hunter Diamond: Thank you. And my next question was, can you provide more details on Viomi’s omnichannel marketing and service supporting the expansion into international markets, particularly the U.S. where competition is very strong?
Xiaoping Chen: Right. Thank you. That's a very good question. Regarding the China expansion, with our existing omni-channel marketing and service compatibility combined with our accumulated strength in water purification, manufacturing, R&D, and product strength will help us to explore the North American market. At present, we have both domestic marketing and after-sales service systems covering both online and offline channels, including the sales channels of mainstream e-commerce platforms, as well as live streaming sales on new media platforms. We are also actively expanding the overseas market. Besides the original European and Southeast Asia market, we are taking steps to expand the North American market. We see that the household water purifier in North America has great potential and also it's a great challenge. We have the industry-leading gigafactory as our strong quality assurance. Using AI technology to develop water purifiers, our overseas users can also download the App for device management. Real-time monitoring the water quality and usage, DIY replacement of the filters reducing the maintenance cost. Meanwhile, we have enriched reserves of technology to embrace customized product development demand around the world, all of which has built up solid support for Viomi to expand in the global market. Thank you, Hunter.
Hunter Diamond: Great. Thank you for the detailed answers. That's all I have for questions. Thank you.
Operator: And that concludes our question-and-answer session. I would like to turn the conference back over to management for any closing comments.
Claire Ji: Okay, thank you once again for joining us today. If you have further questions, please feel free to contact us through the contact information on our website or our investor relationship consultant, The Piacente Group. Thank you. Goodbye.
Xiaoping Chen: Thank you.
Unidentified Company Representative: Thank you. Bye-bye.